Operator: Hello. And welcome to the Ashford Hospitality Trust Second Quarter 2024 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question and answer session. And if you would like to ask a question during this time please press star one on your telephone keypad. I would now like to turn the conference over to Deric Eubanks, Chief Financial Officer. You may begin.
Deric Eubanks: Good day everyone and welcome today’s conference call to review results for Ashford Hospitality Trust for the second quarter 2024 and to update you on recent developments. On the call today will also be Stephen Zsigray, President and Chief Executive Officer and Chris Nixon, Executive Vice President and Head of Asset Management. The results as well as notice of the accessibility of this conference call on a listed only basis over the Internet were distributed yesterday afternoon in a press release. At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the safe harbor provisions of the federal securities regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's filings with the Securities and Exchange Commission. Forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. Statements made during this call do not constitute an offer to sell or a solicitation of an offer to buy any securities. Securities will be offered only by means of a registration statement and prospectus, which can be found at www.sec.gov. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules, which have been filed in Form 8-K with the SEC on July 30th, 2024, and may also be accessed through the company's website at www.ahtreit.com. Each listener is encouraged to review those reconciliations provided in the earnings release together with all other information provided in the release. Also, unless otherwise stated, all reported results discussed in this call compare the second quarter ended June 30th, 2024 with the second quarter ended June 30th, 2023. I will now turn the call over to Stephen Zsigray. Please go ahead.
Stephen Zsigray : Today marks my first conference call as Ashford Hospitality Trust's CEO, and I look forward to meeting and speaking with many of you over the coming months. I'm also pleased with our solid start to the year and the significant progress that we've made in executing our defined strategy. Earlier this year, we announced an ambitious plan to pay off our strategic corporate financing in 2024, which we believe is a crucial step in positioning Ashford Trust back on a path to growth. We set out to accomplish this through a combination of asset sales, mortgage debt re-financings, and our non-traded preferred capital rates. We made tangible progress in all three areas during the second quarter, and with nearly $90 million in principal payments made since March, we are now well positioned to achieve our goal with approximately $94 million in remaining principal. We currently have several assets at various stages in the sales process, and while we are unlikely to sell all of these assets, we continue to work diligently to determine which assets are capturing the most attractive valuations while also providing the largest impact to our de-leveraging efforts. To date, we have sold seven assets for more than $310 million, with six of those sales closing in the second quarter. In April, we closed on the sale of the 390-room Hilton Boston Back Bay in Boston, Massachusetts, for $171 million, or $438,000 per key. All of the proceeds from the sale were used for debt reduction, including approximately $68 million to pay down the company's strategic financing. In April, we closed on the sale of the 85-room Hampton Inn in Lawrenceville, Georgia, for $8.1 million. The sale price represented a 6% capitalization rate on trailing 12-month net operating income through March 2024. Additionally, in May, we closed on the sale of the 90-room Courtyard located in Manchester, Connecticut, for $8 million. The property was encumbered with a mortgage loan that had an outstanding balance of approximately $5.6 million. In mid-June, we closed on the sale of the 90-room Spring Hill Suites and the 86-room Fairfield Inn located in Kennesaw, Georgia, for $17.5 million. The sale price represented a 4.8% capitalization rate on trailing 12-month net operating income through April 2024. The hotels were encumbered with a mortgage loan that had an outstanding balance of approximately $10.8 million. And in late June, we closed on the sale of the 193-room One Ocean Resort located in Atlantic Beach, Florida, for $87 million with approximately $66.2 million applied to the associated mortgage loan. We expect additional asset sales to close in the coming months, all of which would generate excess proceeds available for the repayment of our strategic financing. In addition to asset sales, we closed on a key refinancing during the second quarter. In May, we re-financed our loan secured by the Renaissance Nashville in Nashville, Tennessee, which had a final maturity date in March of 2026. The new non-recourse loan totals $267.2 million and has a two-year initial term with three one-year extension options, subject to the satisfaction of certain conditions. The loan is interest-only and provides for a floating interest rate of silver plus 3.98%. The previous loan totaled $240 million and included the 296-room Westin Hotel in Princeton, New Jersey. As part of this refinancing, the Westin Princeton is now unencumbered, and we have listed this property for sale. We also remain excited about our non-traded preferred stock offering. We continue to build the selling syndicate and currently have 50 signed dealer agreements, representing nearly 6,000 reps selling this security. To date, we have raised approximately $147 million of gross proceeds, including $24 million during the second quarter. This capital is very attractive for the company, and we have committed to applying 50% of all capital raised towards the repayment of our more expensive strategic financing. With the progress we are making across asset sales, mortgage re-financings, and our non-traded preferred offering, we continue to believe that we are on the right path to pay off the strategic financing in 2024. These focused deleveraging efforts, along with solid second quarter operating results and a broadly diversified high-quality portfolio with multiple demand drivers, will position the company to outperform for the remainder of 2024 and beyond. I will now turn the call over to Deric to review our second quarter financial performance.
Deric Eubanks: Thanks, Stephen. For the second quarter, we reported net income attributable to common stockholders of $44.3 million, or $0.25 per diluted share. For the quarter, we reported AFFO per diluted share of $0.27. Adjusted EBITDAre for the quarter was $78.7 million. At the end of the second quarter, we had $2.7 billion of loans with a blended average interest rate of 8.1%, taking into account in-the-money interest rate caps. Considering the current level of SOFR and the corresponding interest rate caps, approximately 100% of our debt is now effectively fixed. We ended the quarter with cash and cash equivalents of $121.8 million and restricted cash of $124.5 million. The vast majority of that restricted cash is comprised of lender and manager-held reserve accounts and $2.7 million related to trapped cash held by lenders. At the end of the quarter, we also had $22.2 million due from third-party hotel managers. This primarily represents cash held by one of our property managers, which is also available to fund hotel operating costs. We ended the quarter with net working capital of approximately $187.4 million. As of June 30, 2024, our consolidated portfolio consisted of 69 hotels with 17,087 rooms. At the end of the quarter, our share count consisted of approximately 48.8 million fully diluted shares outstanding, which is comprised of 46.8 million shares of common stock and 2.1 million OP units. While we are currently paying our preferred dividends quarterly or monthly, we do not anticipate reinstating a common dividend in 2024. This concludes our financial review, and I would now like to turn it over to Chris to discuss our asset management activities for the quarter.
Chris Nixon: Thank you, Deric. For the quarter, comparable hotel RevPAR for our portfolio increased 1.6% over the prior year quarter. Our team has been actively rolling out several initiatives to grow ancillary revenue, which was up 10% per occupied room compared to the prior year quarter. Group revenue pace for the portfolio continues to accelerate, with the back half of the year positioned well. Corporate transient recovery is also accelerating, with corporate revenue gains of 15% in the second quarter over the prior year quarter. This is nearly double the year-over-year growth that we experienced in the first quarter. Our urban assets also performed well. Total revenue increased 3%, and hotel EBITDA margin increased 160 basis points compared to the prior year quarter for these hotels. I will now go into more detail on some of the achievements completed throughout the quarter. Group pace continues to accelerate across the portfolio. Group room revenue for the full year is pacing ahead of last year by 5%, with the third quarter through the balance of year pacing ahead by 11%. Group business booked in the quarter for all future dates was secured at a 7% ADR premium over the business that was booked during the prior year quarter. We are seeing increases in corporate group and association, which is more than offsetting group government business that has softened as we approach the Presidential election. The overall group booking window continues to extend, as our 2025 group revenue pace is ahead by 20%. While year-over-year group lead volume has started to normalize, conversion rates remain strong, and the average group booking size continues to increase. Our team has strategically increased our group base heading into 2025, which will protect us from macro headwinds and allow us to aggressively yield transient business in the year. Urban hotels performed well during the second quarter. Hotel EBITDA increased 8% compared to the prior year quarter. Renaissance Nashville increased hotel EBITDA by 16% compared to the prior year quarter. This is impressive, considering total revenue grew by only 1% compared to the prior year quarter. The hotel was successful in optimizing business mix and driving aggressive rates during the high demand periods in the quarter. The hotel was also nimble during the slower periods, sending several managers to other hotels temporarily, which lowered our labor costs. This strategy resulted in a hotel EBITDA flow-through of 683% for the quarter compared to the prior year quarter. We've been pleased with the strong performance of our assets in the Dallas-Fort Worth market, which accounts for 7% of our hotel key count in the portfolio. These assets increased total revenue by 6% compared to the prior year quarter. Additionally, hotel EBITDA margin expanded by approximately 480 basis points relative to the prior year quarter. One hotel that I would like to highlight is the Hilton Fort Worth, which grew total revenue by 15% compared to the prior year quarter. More impressively, hotel EBITDA grew by 69% compared to the prior year quarter. Our team re-structured the referral program for internal associates, which allowed us to nearly eliminate contract labor. In addition, the hotel enhanced their scheduling process, which reduced overtime hours while also increasing productivity. These changes resulted in a 585 basis point improvement in departmental profit margin. A competitive advantage for us is our in-house property tax team. Utilizing a data-driven approach to appeals, we realized approximately $1.5 million in property tax savings during the second quarter. This represents a 20% increase in overall savings compared to the prior year quarter. Our team analyzed market tax trends in conjunction with other data points to identify hotels where we could be more aggressive in our appeals process. An example of this is Marriott Sugar Land. After a successful appeal at the appraisal review board level, we strategically decided to continue our pursuit through litigation, which led to further tax assessment reductions. The total taxable value for the property was reduced by $5.5 million compared to the prior year assessment. Moving on to capital expenditures. During the second quarter of 2024, we completed a comprehensive guest room renovation at the Marriott Sugar Land, introducing modern touches and improved amenities for an enhanced guest experience. We also made substantial progress towards the extensive renovation of both guest rooms and public spaces at the Embassy Suites Dallas, with an expected completion later this year. Looking ahead to the third quarter of 2024, we plan to start on a comprehensive guest room renovation at the Embassy Suites West Palm Beach. In the fourth quarter of 2024, we plan to start several renovations across the portfolio, including upgrading the restaurant and meeting spaces at the Hilton Garden in Austin, as well as guest room renovations at both the Residence Inn Evansville and the Courtyard of Bloomington. In 2024, we anticipate spending between $85 million and $105 million on capital expenditures. As mentioned earlier, our portfolio is building a self-foundation and group business. Our urban hotels continue to improve, and we are experiencing strong performance in various markets. We are excited about the soon-to-be-completed conversions at La Concha Key West, which will be an autograph collection hotel, and Le Pavillon, which will be a tribute portfolio hotel. We also continue to evaluate several new initiatives across our portfolio, such as brand conversions, strategic partnerships, and high-yield renovations. That concludes our prepared remarks. We will now open up the call for Q&A.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Jonathan Jenkins with Oppenheimer. Your line is open.
Jonathan Jenkins: Hi. Good morning. Thanks for taking my questions, and welcome and congratulations to Stephen. First one for me, maybe for Chris. I believe you mentioned in the prepared remarks that group business is normalizing. Can you maybe provide some additional color on that comment and kind of what you're seeing out there?
Chris Nixon: Yeah, thanks for your question, Jon. So, group lead volume is normalizing. So, we're seeing that starting to normalize. Within the group segment, conversion rates remain very high. So, we're booking more than we historically have, and our sales teams are working kind of more efficiently. We're seeing lead volume normalize, but group bookings are still increasing. And so, we're very happy with how the portfolio is positioned from a group standpoint. If you look at the balance of years, as I stated in my remarks, we're up 11% in group revenue. A majority of that growth is in Q4, which is traditionally on this portfolio's softest quarter from an occupancy standpoint. And so, we're looking at group revenue that's up 19% in Q4, which is great. And then as we look ahead to 2025, we're up 20%. And so, the segment is not normalizing, but group lead volume is.
Jonathan Jenkins: Okay, perfect. I understood. Thanks, Chris. And then maybe outside of that group lead volume, we've seen the industry, other peers, others in the industry, lowering their full-year RevPAR guidance off what seems to be the softening of demand. And I'm understanding you don't give full-year guidance, but I'm curious if there's anything outside of that group lead volume that you're seeing elsewhere, whether that's BT or leisure, that maybe gives pause or indicates broad slowing?
Chris Nixon: Yeah, I'm happy to talk to that. So, from a corporate standpoint, we're seeing continued acceleration. We're still not back to 2019 levels. We're sitting at anywhere from 80% to 85% of ‘19 levels. But the growth year-over-year is accelerating, which is encouraging. When I look at the rest of the portfolio, it's really kind of the tale of two sides between urban and resort. Urban hotels in our portfolio are up to 2019. We're up 3% in RevPAR. But when we look at Q2 performance, those hotels grew 4% year-over-year. And so they're up to kind of pre-COVID levels, and that growth is accelerating. It's a bit of the opposite in the resort hotels. So, there is some heavy normalizing in resorts. Our resort hotels are still up to 2019, but they're down high single digits to last year. And so, I certainly see the softness that others are citing in our resorts. I think when we look at that, where we kind of mitigate, ourselves from some of that is in our group pace. And grouping up, so to speak, will put us in a position where even as things soften, we're mitigated, and we can have some pricing power kind of on the back end with transient.
Jonathan Jenkins: Okay. Very helpful. And then maybe switching gears, any additional color you can provide on the opportunity out there that remains for the re-financing, now that you've completed the national refi. I'm just wondering what other opportunities are out there in terms of size and scale for more refis.
Deric Eubanks: Yeah, I'll take that. This is Deric. We definitely have some re-financings that we need to do. Thankfully, the debt market's gotten a little bit better. Rates, short-term rates especially, have stayed high. But we've seen spreads come down a little. The CNBS market has been pretty active the first half of this year. We've seen some pretty attractive executions there. So, look, we've held off on doing a lot of re-financings just because the market hasn't been that attractive. And we've had some runway left on maturity schedules. But, we're starting to run out of that runway. And so we will be actively looking to re-finance a lot of our loans. And, thankfully, the property performance has continued to get better on a lot of these loans as well. So, when lenders look at in-place cash flow and debt yields, we've seen some improvements there. So, we continue to be optimistic that the market, especially on the debt side, will continue to improve. But I do think you'll see us execute some re-financings here in the second half of the year.
Jonathan Jenkins: Great. Thanks, Deric. And maybe last one, if I could. I'm curious your thoughts on the transaction environment, if there's been any noticeable pickup or changes in demand as of late. Any differences worth calling out in some of the larger or smaller assets or any color you provide?
Stephen Zsigray: Yeah, I'll take that, Jon. So, we've obviously been active across, quite a few assets in our portfolio. So, I think we've gotten a bit of a flavor of what's out there right now. Unfortunately, you're still seeing, in many cases, a pretty wide bid ask. Financing markets, while they've improved, certainly haven't helped transaction markets. But we have seen, we've consistently seen multiple buyers on all of our assets. And maybe it's not 10, but we've seen two, three, four, which is enough to certainly run an effective process. And I think as we continue to move forward through the rest of the year, especially, if we get some rate cuts here as early as September or maybe later today, fingers crossed, I think we'll start to see those transaction markets start to pick up a little bit more as the deals start to pencil a little bit better for buyers.
Jonathan Jenkins: Okay, excellent. I appreciate all the color, guys. That's all for me. Thank you.
Operator: [Operator Instructions]. Your next question comes from the line of Michael Bellisario with Baird. Your line is open.
Michael Bellisario: Thank you. Good morning, everyone. Chris, I want to go back to the group side of things. Just for that 7% rate increase that you mentioned for bookings in the quarter for all future periods, where did nights booked end up on a year-over-year basis?
Chris Nixon: Yeah, I know that nights booked were up as well. I don't have the exact percentage, but we're seeing pretty healthy increases in our group booking volume relative to prior periods and both room nights and ADR, but ADR is outpacing the growth in room nights.
Michael Bellisario: Got it. And then just similarly for the ‘25 pace, how much is demand versus rate? And then any change that you saw versus last quarter? Because I think the pace picked up five points. Where did you pick up those five points?
Chris Nixon: Yeah, the room nights are up about 15% for 2025 and the remainder is rate. Really, again, our heavy focus has been on driving business where it's needed. And so traditionally, Q4 is our softest quarter every year. We run the lowest occupancy percentages, not by a large margin, but that's where this portfolio needs to group business. And so, even as we look ahead to 2025, our largest room night increase is in Q4, up 31%. With that said, every quarter in 2025 has double-digit room night increases. And then when you look at this portfolio and kind of where our stronger quarters are, Q2, Q3, historically, that's where we're seeing the highest rate growth spreads throughout 2025. And so our team's done a great job setting optimal mixed targets and really funneling that business. So, I think it's one thing to say, hey, pace is up 20%, but when you really dissect it and you see the quarters where we need room night growth, that's where the room night volume is the highest and the quarters where we can get more aggressive with rate, that's where ADR is the highest. That's a great sign. We're seeing quarter-over-quarter improvements, as you cited. We're seeing month-over-month improvements in pace, and its spread fairly evenly throughout the year. But most of it is coming in room nights at this point.
Michael Bellisario: Understood. That's helpful. And then just switching gears, just want to zero-in on transactions. Maybe for Manchester and One Ocean, I think those were the two you did not provide a cap rate or an EBITDA multiple, so hoping you can give any metrics there if you can. And then just also on the process, just what difference are you seeing in terms of buyer interest and pricing expectations for a lower-dollar-value select-serve hotel versus a -- take One Ocean as an example, a fully unencumbered beach resort. What's the bifurcation look like there in terms of process and buyer interest?
Stephen Zsigray: Yeah, I'll take that. So, I don't offhand have metrics available for those two. We'll certainly see what we can find. As far as buyer interest, I don't know that it's so much the size of the hotel. I think what we've found as we've gone through our process is really finding certain markets. There are markets that are hot right now. There are markets that are very soft right now. And we've run a pretty wide process to really try to identify the highest value in the portfolio and make sure that the assets that we're selling, so, you've seen several of them where we have disclosed cap rates that I think were, in some cases, a bit surprising to us because we were getting, we were getting really good value in specific markets. It's a different buyer set, obviously, always is. But we have consistently, like I said, I think we've consistently seen somewhere between three and five players on all of these assets. So, it has not been something where we've had 20 people fighting for an asset, which we'd love to eventually get to. But we have had sufficient interest in all of these assets to run what we feel is an effective process and get solid value.
Michael Bellisario: And then just last question for me sort of along the same lines but related to strategy, I guess maybe what are your thoughts, Stephen, in terms of what the portfolio looks like one to two years from now? I remember Rob talking about wanting to call more of the lower RevPAR, lower quality part of the portfolio. Are you thinking along the same lines? Do you accelerate those plans? What would the portfolio look like if you look out 12-24 months? And that's all for me.
Stephen Zsigray: Yeah, I think that's right. I think we certainly have a preference to pursue some turnover of what we would consider maybe some of our non-core assets at the lower end. As far as timing, right now I think we are inclined to wait a bit longer until markets, especially financing markets, get a little bit better and we can run a more effective process. I'd rather go into a sales process with five or ten buyers. But I do think as we as we look forward one to two years, that the goal that Rob outlined is still very much in play.
Operator: This concludes the question and answer session. I'll turn the call to management for closing remarks.
Stephen Zsigray: Thank you for joining today's call, and we look forward to speaking with all of you again next quarter.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.